Operator: Good morning, ladies and gentlemen, and welcome to the Daseke's Second Quarter 2019 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to turn the conference to our host, Mr. Caminiti, with Investor Relations.
Joe Caminiti: Thanks, Roche. Please turn to Slide 2 for a review of our safe harbor and non-GAAP statements. Today's presentation contains forward-looking statements as within the meaning of the Private Securities Litigation Reform Act of 1995. Projected financial information including our guidance outlook are forward-looking statements. Forward-looking statements, including those with respect to revenues, earnings, performance, strategies, prospects and other aspects of Daseke's business are based on management's current estimates, projections and assumptions that are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. I encourage you to read our filings with the Securities and Exchange Commission for a discussion of the risks that can affect our business and to not place any undue reliance on any forward looking statements. We undertake no obligation to revise our forward-looking statements to reflect events or circumstances occurring after today whether as a result of new information, future events or otherwise except as may be required under applicable securities laws. During the call, there will also be a discussion of some items that do not conform to U.S. generally accepted accounting principles, or GAAP, including adjusted EBITDA, adjusted operating ratio, adjusted net income or loss, and free cash flow. Reconciliations of these non-GAAP measures to their most directly comparable GAAP measures are included in the appendix to the investor presentation and press release issued this morning, both of which are available on the investor relations tab of the Daseke website, www.daseke.com. Now I would like to turn the call over to Daseke's CEO, Mr. Don Daseke. Don?
Don Daseke: Well, thank you, Joe, and good morning, everyone. Starting on Slide 3. Today, we will cover several topics. First, I will start our call by giving a high-level overview of our operational focus. Then our COO, Chris Easter, will walk you through the initial phase of an operational improvement plan that is already underway for Daseke. Finally, our CFO, Bharat Mahajan, will provide an in-depth discussion of our second quarter financial results as well as an update to our guidance for the balance of the fiscal year. Turning to Slide 4. Daseke has gone through a significant transformation since going public just 2 years ago. We have dramatically increased the size and scope of our operations in a relatively short period, which, as most of you know, was primarily accomplished through an acquisition-focused strategy. What we have built here at Daseke has never been done before in the flatbed and specialized transportation market. Today, we are proudly the largest flatbed and specialized carrier in North America. Turning to Slide 5. You can see that we have now pivoted our focus from building size to optimizing the expertise we have in operations to deliver scale. As a result, we decided to follow [indiscernible] 2019. Just as we delivered exceptional top line growth over the last few years, we are now focused on delivering an exceptional bottom line driving free cash flow performance and delevering our balance sheet. We recognize that natural evolution has many challenges, tough choices and frustrations. Nonetheless, we feel the need to continually calibrate the operational disciplines required to enhance shareholder value now and in the future. Chris's operational team has been working incredibly hard on executing the initial phase of our operational improvement plan. I'm excited that he will share the details with you today. On another exciting note, I've been guiding with the 3 new operationally focused board members we added to the team in the second quarter, including Ena Williams, Chuck Serianni and Kim Warmbier. These terrific leaders bring with them strong expertise in driving operational efficiency and scaling profitable growth. We welcome them to the Daseke journey. Before we turn to the operational developments underway, I'd like to give a brief high-level overview of our headline financial performance, beginning on Slide 6. Our second quarter revenue of $450.6 million marked an increase of 20% versus last year's comparable quarter. On an acquisition-adjusted basis, our measure of organic growth, our top line grew by 1%. Second quarter adjusted EBITDA of $46 million was relatively flat versus last year's comparable quarter. Looking at the operating segment level, our adjusted EBITDA was up 14% to 37.8% in the specialized segment and up 6% to $19.9 million in our flatbed segment. Later in the call, Bharat will get into more granular detail regarding our financial performance. Chris will now outline the first phase of our new operational strategy. Chris?
Christopher Easter: Thank you, Don, and good morning, everyone. Turning to Slide 7. I would like to quickly review my first 6 months on the job as Daseke's COO. I spent the first quarter gaining a solid understanding of all Daseke operating companies as well as how we support them with our corporate teams. Overall, we have a wealth of talent across our operating companies and all of them are deeply committed to supporting our customers at the highest possible level. That said, I've also confirmed that we have some operations and recent acquisitions that have not performed to expectations. Therefore, in the second quarter, my team and I shifted our focus to building plans that will position us to deliver significant improvements in our operating results. As we enter the third quarter, our work has quickly transitioned to the execution of those initial plans. I should be clear that the execution work in process today is just the first significant step in what will be a cycle of continuous assessment and improvement of our business to deliver value to both our customers and shareholders. So what are we doing differently right now to deliver value to our customers and shareholders? There are quite a few actions we will execute on in the coming months and in some cases, over the next couple of years. Many of these actions can be done in parallel to one another, while some will be more sequential in nature. Some actions might appear simple at first glance, while others will be fairly complex. The challenges what I would describe as an intellectual puzzle of unlocking the value we have assembled within our family of companies yet at the same time, protecting and leveraging the core value of technical know-how, specialized equipment and unique operational capabilities. Turning to Slide 8. Let me share with you the first couple of actions we have already launched in order to unlock the value of Daseke. These actions are operational integrations and business improvement plans. The first action is operational integrations. We're in the process of integrating 3 of our operating companies into 3 other high-performing Daseke operating companies, effectively reducing our operating units from 16 to 13. This action will achieve natural efficiencies across both operational as well as functional support teams. There were different considerations for each integration, but all were similar in terms of their ability to deliver greater value when merged with the sister operating companies selected. There will be some onetime restructuring costs associated with this action in the third quarter. We will update you on those costs once we have fully identified them. We expect this specific action to deliver $10 million and improve operating income during calendar year 2020 with the potential of an additional $5 million to $10 million on a run-rate basis in calendar year 2021. Let me provide a little more detail on each of these operational integrations. First, we are consolidating our commercial glass operations, which predominantly reside with two of our operating companies into 1 larger team. Moore Freight Services, which is predominantly a glass hauler, will become a division of E.W. Wylie. E.W. Wylie has a substantial glass segment within their operations, but is over twice the size of more freight with a much more diversified customer base and greater strength provided by its deep and experienced support team. Second, we are consolidating Schilli into Lone Star Transportation. Lone Star is one of our largest operating companies with a significant presence in the heavy haul space. Lone Star has also consistently been one of our top performers with a deep bench of talent and base of business to drive improvements with this combined team.  The final integration is combining two of our flatbed operations together. Builders Transportation will merge and join with Hornady Transportation. This integration will capitalize on improved asset utilization as well as operational synergies to deliver rapid and sustained improved results. Hornady strengths and operational excellence in areas such as equipment maintenance and load planning as well as our complementary geographic and customer footprints with builders will enable a rapid and clearly defined path to improve results. Let's move to the second operational action that we are announcing today, which as you can see on the right-hand side of the slide is simply labeled as business improvement plans. As I mentioned earlier, we have some operations that have not performed as well as we'd expected. While some of this performance has certainly been influenced by recent softer market conditions, there are some cases where our teams need to improve their execution. Regardless of the cause, we have initiated a business improvement plan process that taps into the significant expertise and leadership across our operating teams for support and provides accountability for driving improved performance over defined periods of time. I'm not going to go into specifics relative to the operating units currently on active business improvement plans as the details of the individual plans are as diverse as our operating companies. The types of individual actions include areas such as rightsizing trailer truck ratios, yield management capacity allocation and more disciplined maintenance execution. We expect this action to deliver a $5 million improvement to operating income in 2020, and we expect that some of the practices we develop will be shareable with all of our operating companies in the future. So to summarize, we have an aggressive plan that can deliver $20 million to $25 million in annual operating income by fiscal year 2021 -- fiscal year-end 2021. I would be remiss if I did not emphasize that the operational integration actions we've outlined are not expected to be a recurring item. The business improvement process will certainly be a recurring action that will shift as needed across either operating companies or certain functional areas as we will constantly look to drive improved performance. These are ambitious goals, but we believe them to be well within our reach in the beginning of what we see as a multi-year plan to deliver a significantly improved operating ratio and improved platform for organic growth. Our team is very excited to take these next steps forward, driving operational excellence across the entire organization, getting this operational foundation right and reinforcing a more continuous improvement mindset will put us in a position to truly leverage the unique business that we have built in the marketplace. I will now turn the call over to Bharat to review our financial performance and last quarter. Bharat?
Bharat Mahajan: Thank you, Chris. I will now move to our Q2 financial details, which are presented on Slide 9. Revenue increased 20% to $450.6 million compared to $376.9 million in the year ago quarter. On an acquisition-adjusted basis, revenues were up 1%. For the second quarter of 2019, operating income was $4.7 million compared to $8.5 million in the year ago quarter. Net loss for Q2 was $6.4 million or $0.10 per share compared to net income of $13.5 million or $0.22 per share in the year ago quarter. Adjusted EBITDA was relatively flat at $46 million. Acquisition-adjusted EBITDA was $46 million compared to $54.5 million last year, down 16%. As a reminder, all of our profitability results in Q2 2019 versus Q2 2018 include the increased investment in our corporate segment with Daseke Logistics, IC system upgrades and the new management positions. It's also worth noting that included in our second quarter EBITDA, our costs relating to timing differences in our self-funded health insurance plan and higher auto-liability insurance costs and claims. Looking at our results by segment, specialized revenue in Q2 increased 28% to $280.7 million and adjusted EBITDA was up 14% to $37.8 million. Flatbed revenue in Q2 increased 8% to $174.9 million and adjusted EBITDA increased 6% to $19.9 million. Moving on to a more detailed view of our segment results. Slide 10 provides a review of our specialized segment. Our operating ratio was 96% compared to 96.7% in Q2 2018 and acquisition-adjusted revenue and acquisition-adjusted EBITDA were up 8% and 3%, respectively. Specialized rate per mile increased 23% to $3.54 compared to $2.88 in the second quarter of 2018, driven by higher rate per mile project business, particularly in energy and large CapEx projects. Revenue per tractor increased 13% to $64,600 compared to $57,400 in the year ago quarter. Slide 11 shows our flatbed segment. Flatbed operating ratio in Q2 was 96.5% compared to 94.3% in the year ago quarter. Flatbed rate per mile in Q2 decreased 4% to $1.94 and flatbed revenue per tractor decreased 7% to $42,400. Slide 12 shows the breakdown of our Q2 acquisition-adjusted EBITDA. The acquisition-adjusted EBITDA in our specialized segment increased 3%. The acquisition-adjusted EBITDA in our flatbed segment decreased 15% given the current market conditions. Overall, Q2 acquisition-adjusted EBITDA was down 16%. Next, Slide 13 highlights our last 12 months performance as of June 30, 2019. Revenues increased 50% to $1.79 billion, while acquisition-adjusted revenue increased 9% to $1.8 billion. Adjusted EBITDA increased 39% over this period to $182.6 million and acquisition-adjusted EBITDA was $183.8 million. Now turning to our balance sheet and free cash flow. As Slide 14 indicates, at June 30, 2019, we had cash of $63.7 million, 0 outstanding and $85.2 million available under our revolving credit facility for total available liquidity of $148.9 million. Net debt was $650.1 million and leverage in accordance with our debt facility was at 3.3x, which remains well below our 4x covenant. For the six months ending June 30, cash provided by operating activities was $54.9 million, and cash CapEx was $12.1 million, and cash proceeds from the sale of capital property and equipment was $16.5 million, resulting in free cash flow of $59.3 million for the 6-month period. Finally, turning to the operational plan that Chris discussed earlier, as you heard, this is an aggressive plan, but it will require some additional cost, most notably in the third quarter, as we merge these operating companies together and execute against the business improvement plans. It will also be the potential for the write-off of some intangible and other assets. We are still working through the final impacts of the integration plan and are unable to quantify these items at the moment. That is why we have provided you our improvement goals on a run-rate basis for both 2020 and 2021 as most of our costs to execute these plans will be incurred in fiscal 2019. We will update you on the third quarter call of the accounting impact of the integrations. Moving to Slide 15. I'd like to walk through our revised outlook for fiscal 2019, which I'm presenting on the base business, excluding the impact of the integrations. While our specialized business has performed well in the face of this tough environment, it is no secret that there are macro environment headwinds, especially in the flatbed segment. As such, we believe that it's prudent to lower our expectations for the remainder of the year. As a result, we are now forecasting revenue to range between $1.7 billion to $1.75 billion. We expect adjusted EBITDA of $165 million to $175 million. We now expect net leverage as defined in our term loan debt agreement at year-end to be between 3x to 3.3x. Lastly, in terms of net CapEx, we expect to remain in the range of $65 million to $70 million. Let's end on Slide 16, where I'll summarize our key takeaways from today's call. Through our first chapter, we built a spectacular and very unique platform that we believe is truly differentiated in the transportation industry. We have numerous opportunities to leverage this platform to drive long-term growth and shareholder value. But first, we need to execute our pivot strategy and drive down costs so that we can leverage our size turning it into scale. We have outlined and already begun to execute the first phase of our operational plan, and we look forward to updating you on our progress in the second half of fiscal 2019. That concludes our prepared remarks, and we'll now turn the call over for your questions.
Operator: [Operator Instructions]. Your first question comes from the line of Steve Dyer with Craig-Hallum.
Steven Dyer: Just a question on, I guess, spot rate versus contract. Given the amount that you guys have on contract, I guess, the cut to the second half seems steeper than I would have assumed. And I guess, just as a follow-up to that, obviously, spot rates ticking down meaningfully and you guys are probably starting to negotiate 2020, how are those conversations going? And what type of, I guess, rate declines are being factored into these forward contracts?
Christopher Easter: Thanks, Steve. This is Chris. I'll take that one. Yes, I think if you looked at our regional budget for this year, we had a 2.5% overall rate increase embedded. And right now, on our forecast at this point, we're factoring at a 1.8%, so a slight degradation and it is tied mostly into the remainder of the year. Yes, the spot market, obviously, the sequential month after month spot rates being below contract is indicative of where -- at least to some extent, where contract rates will probably go. We're seeing some initial discussions around there and there is some pressure. But I would say that, I think, the pain associated with 2018 and the tight capacity is still fresh on everyone's mind. So there is, I think, some caution there when the contract rates are being discussed because, I think, shippers and others did not want to fall into the same situation in 2020 that they had in 2018. So overall, there's some pressure downward, and we factored that into our outlook.
Steven Dyer: Got it. Okay. I guess, a couple of questions just around the restructuring then. How much revenue, if any, will be lost, do you think, by consolidating the 3 operating companies? And are there further opportunities to do further consolidation sort of within the portfolio going forward?
Christopher Easter: Two parts in that. On the first, in terms of revenue loss, I think, the net, we should not see any negative net impact off of these integrations. And secondly, in terms of being a recurring event, we do not expect this to be a recurring event. That's not to say there would never be a case. We're always going to adjust as the market indicates and business opportunities arise. If you were to go to any of our operating companies, even those that have been in business since The Great Depression, they've changed their view and model many times over the years and we expect that in future we'll be doing similar type things. It's not the first time we've been in integration. Also we did one, I think, it was in 2018 with Roadmaster and one of its other operating units, R&R. So it's not a plan of a recurring event for us, unlike the business improvement plan that is recurring.
Steven Dyer: Got it. And then just a couple of housekeeping items for Bharat. Maybe I missed it, but do you have a bit of free cash flow and CapEx guidance for the year? And then, I guess, when I used -- from a leverage perspective, when I use the midpoint of what you've given, it implies net debt of around $535 million exiting the year. Does that seem reasonable?
Bharat Mahajan: Steve, so let me kind of update you on a few things. So CapEx, we're still guiding in the $65 million to $70 million range. When we look at that cash flow from operations, in the second quarter, we're $18.5 million. On a year-to-date basis, we're at $54.9 million there. And just in terms of on a net debt basis, I would not use the number that you have. You have to remember that our -- the calculation for our debt agreements is different than the calculation that we would use on a standard leverage on a financial statement reported basis. We do have add backs that we get on debt agreements that are kind of historically recurring and those are generally in the $11 million to $12 million range. Our debt agreements also do allow us to add back the impact of future synergies as well, which you wouldn't add back in the case of a normal debt leverage calculation.
Steven Dyer: Got it. Okay. One last quick one. How much of the CapEx in Q2 was financed?
Bharat Mahajan: We financed $22.9 million. So net CapEx after disposal in the second quarter was $19.2 million.
Operator: And your next question comes from the line of Jason Seidl with Cowen and Company.
Jason Seidl: You talked a little bit about sort of the decline in demand on the flatbed side. Can you delve into that a little bit more and talk about where the end markets that are seeing the weakness?
Christopher Easter: Yes, this is Chris. I'll take that one, Jason. I appreciate it. In the flatbed, where we've seen some softness, I'd say, if I look back, it's across the more commoditized segments. And generally, you're seeing some in various areas of construction, whether it be lumber or roofing materials and such. Steel has been another one that had some ups and more downs during the course of the year, but it has been across those general commodity segments.
Jason Seidl: Okay. That's good color. Also, Chris, I think you mentioned with Roadmaster and R&R you did sort of an integration like this before. Refresh our memory, how did that go? And what do you think you guys learned from doing that?
Ronald Wheeler: I'll take that one, Jason. This is Scott. We did that in early 2018. We had 2 companies that were direct competitors and had operation centers quite close to each other and it was the first time we ever did a full and complete integration of those 2. And in that case, the R&R brand went away and it became the Roadmaster Group leading the way. We've learned a great deal. We developed a bit of a road map from that, that we are using with what Chris is doing today, and we picked up significant amount of synergies as a result of that. In that particular case, I think we were about $4 million a year run rate from the synergies of the integrations of those operations.
Jason Seidl: Okay. That's great color. And Bharat, the $65 million to $70 million net capital expenditures. How much of that would you consider maintenance CapEx?
Bharat Mahajan: It's all pretty much maintenance CapEx, Jason.
Jason Seidl: All right. So you're right down to the bare maintenance CapEx. Okay. Great. And then another sort of balance sheet-type question. Debt payments coming up here in the next 12 months. Do we have any lumpy ones? Just can you remind me?
Bharat Mahajan: No. It's just the historical pattern that we generally have for the last little while. If you look at our balance sheet, we've got about $62 million in current portion of financings and that's been fairly consistent since year-end.
Operator: Your next question comes from the line of Dave Ross with Stifel.
David Ross: I guess, first, is higher level. When you look at specialized, you look at flatbed, is 3,200 trucks and 3,000 trucks roughly where you want it? Or given the current market, are you thinking about downsizing that at all and targeting a different level?
Christopher Easter: Again, this is Chris. I'll take that, Dave. Thank you. Given where our volumes are right now, we're working to improve utilization. There's going to be a -- as we end this year, I expect a small decline in that overall truck number. I'm not prepared right now to tell you that number, but it's going to be a relatively small single-digit percentage decrease to fleet. So yes, we're working to make sure we're getting the most effective utilization possible.
David Ross: And do you think that small decline would be more on the IC side or the company RN side?
Christopher Easter: It'll be more on the company side.
David Ross: All right. You talked about the cost-improvement programs that you're putting in place, attacking a lot of, I guess, redundant costs or inefficiencies. What about on the revenue side? Is there anything you're looking at from a business development or yield management standpoint to also grow the operating income?
Christopher Easter: Yes. I'd say, maybe the answer is yes. And on the -- from a yield management perspective, that is absolutely a part of the exercise we're going through and just trying to make sure we're putting our capacity against the best customers and freight for our assets. And at the same time, I know on the brokerage, it's not that we have, by any means, stopped the work on that. It's still very much in a formative and developing state. I'd say, formative, but we're $280 million, $300 million, I think, give or take, in revenue on a run rate in that piece of the business, and we certainly are looking to grow that as well. So we're looking to grow business and definitely working to improve our margins and how we approach it as well.
David Ross: And can you remind me about the brokerage unit? Is it one that's purely stand-alone? Or is it one where you might be able to leverage it to improve the utilization of your own trucks?
Ronald Wheeler: David, this is Scott. I'll take that one. It is absolutely 2 different types of brokerage. And one is our existing operating companies had inherent legacy brokerage inside them that we have accentuated and grown and that's largely relationship-driven and so it's just part and parcel of execution of the brokerage with that one -- with that significant customer. We have a new startup greenfield group called Daseke Logistics that is doing more pure transactional-type brokerage. And that's just starting up, but we've had some fairly significant revenue success there, but it is very, very early stage and a lot of the things that we would like to broker is in the flatbed space and it's been -- it hasn't been as active as we would've liked. But what we've seen recently in brokerage is slight uptick, well, in terms of the margin in the second quarter this year over the margin in the second quarter last year. So encouraging opportunities there, but in a tightening freight market, you will see those that we normally would have brokered will instead go on a company or an owner operator truck.
David Ross: And it's certainly been a tougher flatbed markets and even dry van, which hasn't been good. What are you guys seeing from a competitive standpoint? How are the other smaller flatbed players doing in this market? And do you think that there's an opportunity for you all to either gain share or do well even if the market stays soft because there is some capacity exiting?
Christopher Easter: I've always tried to stay familiar with and observant of what else there might be happening out there with competitors, and I think they're facing equal challenges from a rate and volume perspective and some will be in a better position and some in a weaker position. But I do know for sure, our position is one where we're driving these improvements. And I think that's what's going to position us for strength as we're moving forward as we know the things we can control and where we see improvements we can make on our operations regardless of what's happening in the market. I think that will put us in a position where we can take advantage of the case if others fall by the wayside or not able to compete.
Operator: Your next question comes from the line of Matt Brooklier with Buckingham Research.
Matthew Brooklier: So just another question on the flatbed side with your rev per mile down about 4% in the quarter. That was a little bit more than I had anticipated. I know there's a tough comp, but just thinking about your business as being more contractual than spot, it just seems like it was a pretty big decline. So if you had any more color to offer in terms of what may have weighed on your revenue per mile in the quarter, I think that'd be helpful.
Christopher Easter: Yes. This is Chris, Matt. I'll try to answer that. I think -- I don't know that it was down that much more. I think we had some of our business though, including BTC, which has been -- I'm sorry, Matt, I'm sorry, the BTC that we had acquired last fall and it was very heavy in the spot market where we're working to kind of adjust with that. So we do have a fair chunk in the spot market and there is definitely some spill over there.
Matthew Brooklier: Okay. So it sounds like mix has changed a little bit more and therefore, that contributed more to the year-on-year decline, but obviously the market is not feeling so hot right now. Bharat, the corporate expense was above. I think you guys had previously talked to like a $40 million number for the year. It's tracking a little bit above that. Can you maybe give us an update in terms of how you're thinking about that expense into the second half?
Bharat Mahajan: Yes. So, Matt, it is tracking a little bit higher and a lot of it is related to just the fact that we do have self-funded programs with respect to health insurance and all liability as well, and those amounts are coming in a bit higher than we anticipated. So for the balance of the year, I would expect us to be more in the $10.5 million to $11.5 million per quarter is where I'm anticipating we're going to come in.
Matthew Brooklier: Okay. That's helpful. And then just lastly, it looks like that the targeted leverage ratio for the year that's gone off just a little bit. What's driving that?
Bharat Mahajan: It's the fact that when we had issued our previous guidance, our midpoint of our previous guidance was at $205 million in adjusted EBITDA. If you look at our revised guidance, we're guiding in that $165 million to $175 million, so the midpoint is $170 million. So you've had a decline in the overall EBITDA, which is causing the leverage ratio to be different.
Operator: Your next question comes from the line of Kevin Sterling with Seaport Global.
Kevin Sterling: Bharat, I'll follow-up on Matt's question there real quick about the leverage ratio ticking up. It's a function of EBITDA. But on a dollar basis, your debt is coming down because that seems to be the focus right now on debt reduction and free cash flow generation. Is that right?
Bharat Mahajan: Yes. On a net debt basis, we expect to be down from where we were at the end of 2018. Absolutely, that is correct.
Kevin Sterling: Got you. Okay. And digging a little bit deeper into your updated guidance, you lowered your adjusted EBITDA guidance on a much greater percentage level than your revenue cut. Can you walk us through? And I think you've touched on some of this, but just kind of really kind of some of the key drivers of that larger EBITDA cut versus the revenue cut.
Bharat Mahajan: Yes, and a lot of it, as you've seen, is just simply that margins are compressed. You're seeing that in the flatbed segment, and you're also seeing that corporate costs are coming in a bit higher than we anticipated. So it's a combination of those 2 things that are really having the greatest impact on the EBITDA cut versus on the revenue cut.
Kevin Sterling: Got you. Okay. And you're not factoring any improvement in the macro at all in your updated guidance, right?
Bharat Mahajan: No. We're anticipating that the macro environment stays fairly stable to where it is at the moment.
Kevin Sterling: Okay. Along those lines, what have you seen so far in July in terms of trends? Similar to what we saw earlier in the year?
Bharat Mahajan: Kevin, we don't normally comment on a monthly or a quarterly basis. What I would say is that the trends that we're expecting to see are going to be just in line with our normal seasonality trends that we would expect to see through the year.
Kevin Sterling: Okay. And last question for me and this might be more for you, Chris. If I could just sum it up, and I don't want to put words in your mouth, but it sounds like listeners call today, the macro is going to do what the macro is going to do, but I think you see some -- a lot of low-hanging fruit that you can pick off that you can kind of cut, if you will, to offset some of the macro weakness. You're moving from 16 operating companies to 13, you're -- looks like you've got your focus on some maintenance expense and things. Is that the message here that we're going to do we can do internally and operationally? The macro's going to do what it's going to do, but we've got some tools, we've got some arrows in our quiver to kind of offset any macro weakness. Is that a fair assessment or maybe I'm a little bit off base? I'd love to hear your thoughts.
Christopher Easter: I think the overall assessment is certainly correct in that, yes, regardless of what's happening in the market, there are things we can do and it's back to the old shift, back in when I started. It was a shift from this unbelievable growth story, which we've experienced the last few years, which consumed, I would say, the vast majority of energy and time and focus just really keeping up with that, and we have shifted now to -- in a similar, very focused tremendous energy on operational execution. And now, as we've shifted that focus, they, yes, I think do become readily apparent that we can drive and we're putting those resources against those opportunities today. So, yes, we've got lots of opportunity there for us in the coming months, in the next couple of years. We're just going to pull out the playbooks, whether it's a playbook I may have brought along or the playbook of our various outstanding leaders in the field and execute off those playbooks.
Operator: We have time for one more question. Your next question is from the line of Greg Gibas with Northland Securities.
Gregory Gibas: First of all, just to be clear, does the new outlook primarily reflect weaker flatbed performance? Or are your assumptions in the specialized segment changing at all?
Bharat Mahajan: We're looking at predominantly weakness in the flatbed segment, more than anything else. And when we look at it, we're expecting generally kind of rates to stay flat compared to H1 2019 is what we're expecting. Compared to H2 2018, we're expecting a slight decrease in rates, again, predominantly focused on the flatbed side.
Gregory Gibas: Got it. Got it. And then just a follow-up there, I guess, within flatbed. Other than the worsening market conditions that you spoke of, are there any onetime specific weaknesses that we should be aware of in the quarter?
Christopher Easter: I'd say, there's nothing to note there any from a onetime perspective. No.
Gregory Gibas: Got it. And then shifting gears, I was just going to ask if you're not going to be acquisition-focused in the near term or for a while. How are you thinking about your priorities with respect to directing capital towards reducing leverage versus maybe potentially buying back shares?
Bharat Mahajan: Yes. That's a great question and something that we are always looking at. We set out this year to generate free cash flow and to delever the business and that continues to be and remains our highest priority.
Gregory Gibas: That makes sense to me. Last one for me. Are there any major contracts that are up for renewal in the near term that we should be aware of?
Christopher Easter: No. I'd say, given the broad diversification of our business, the largest customer we have up there is just over 4% of total business. So -- and we have nothing to note that I would say that'd be a material consequence in the coming months.
Operator: And I would now like to turn the conference back to Don Daseke.
Don Daseke: Thank you. Thanks, everyone, for joining us today. While our industry's momentum has clearly slowed, our strategic focus and execution continues to build momentum. We're very excited about the improvement plans that we have in place here today. We've outlined strong operational goals that today will help us offset some of the market's recent weakness, but will also position us for long-term growth and shareholder value creation. We look forward to updating you on the third quarter call in a few months. And thanks, everyone.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation, and have a wonderful day. You may all disconnect.